Operator: Good day everyone, and welcome to the Interactive Brokers Third Quarter 2008 Earnings Results Conference Call. Today’s call is being recorded. At this time for opening remarks and introductions, I’d like to turn the conference over to Ms. Deborah Liston, Director of Investor Relations. Please go ahead.
Deborah Liston: Thank you. Welcome everyone and thank you for joining us today. Just after the close of regular trading, we released our third quarter financial results. We’ll begin the call today with some prepared remarks on our performance that compliments the material included in our press release and allocate the remaining time to Q&A. Our speakers are Thomas Peterffy, our Chairman and CEO, and Paul Brody, Group CFO. At this time, I’d like to remind everyone that today’s discussion may include forward-looking statements. These statements represent the company’s belief regarding future events that by their nature are not certain and outside the company’s control. The company’s actual results and financial condition may differ, possibly materially, from what is indicated in these forward-looking statements. For a discussion of some of the risks and factors that could affect the company’s future results, please see the description of risk factors in our filings made with the Securities and Exchange Commission. I’d also direct to you to read the forward-looking disclaimers in our quarterly earnings release. With that, I’ll turn the call over to Thomas Peterffy.
Thomas Peterffy: Welcome, everyone, and thank you for joining our call. I’d like to begin today’s discussions by bringing your attention to the fact that despite the recent distress in the financial markets, we’re able to deliver our second best quarterly earnings per share so far. Although, we have witnessed unprecedented losses in the financial sector and beyond, our company was, again, able to post healthy double-digit revenue and profit growth year-on-year. This performance underscores our clear advantage of experience, automation, and single-minded focus on speaking to what we do best that is building and perfecting our market-making software and putting the superior technology in the hands of our sophisticated brokerage customers that demand best execution of the lowest cost. Our operations have been relatively unaffected by recent events in the credit markets. Our equity capital exceeds $4 billion and we do not rely on outside liquidity sources to any meaningful extent. We have stayed away from exerted financial instruments, which will determine our values, and we deal only in highly liquid exchange-traded products. Nevertheless, our stock price has been under pressure from fear of uncertainty about financial firms, which has led irrational trade. Depending up on how the economy evolves, this may be temporary. For that reason, we recently announced an 8 million share repurchase program, which represents 20% of our publicly-floated shares. We did not follow through with the share purchase program, because it turned out that our earnings per share were actually at the top of the range we projected just two days prior to the end of the quarter. We projected $0.55 to $0.65 and realized $0.65. I would like to use this outcome to, again, bring to your attention the fact that our reported earnings are largely influenced by three random elements. One, is the [distemper analyst] nature of closing prices; the second, foreign exchange rates; and the third taxes. As you know, [VA] markets on (inaudible) in 27 countries and we carry large positions that are hedged against each other. If we are net long in Asia and short in America and US prices falling the afternoon, relative to Asian prices that were steady in the morning, we will show a large profit for the day and that day happens to be the large day of the quarter, we will show a large profit for the quarter. Even though we know that the following day prices are likely to even out and the extra profit will go away. So that is one end development. As we continue as we buy and sell products in different countries, we inevitably assume positions in foreign currencies. When we buy something for Canadian dollars we become short the Canadian dollar and we pay for it. And we sell something for British pounds, we become long the British pound when we will see the sales proceeds. Every paid in a security corresponds to a trade in the currency in which the security is denominated. This may not be apparent when you are trading only one country, but when you run a global system you cannot get away from this. With this either to hedge all these trade by keeping our network hedged to a best cap of currencies that we call the global. We defined one unit of global to contain US $0.59, $0.24 Euro, Yen $0.10, $0.03 British pence, $0.03 Canadian and three $0.03 Australian. Now we keep our networks in global, but we lead forward our consolidated earnings in US dollars. Clearly, as the value of the US dollar fluctuates, it all effects to the global, the value of our networks we will fluctuate and that fluctuation will show up in our earnings. Finally, the third end development is taxes, different jurisdictions has different tax rates. To the extent our earnings derived from the US, Australian or Canadian territories, our tax rates are high. When they come from Europe or Asia, they are much slower. So what happened in this quarter, in the third quarter the closing prices were relatively favorable, but only slightly. The US dollar has reasonable value against the global. Accordingly, our networks in globals translated into fewer dollars, than the preceding quarter, and this went against us. On the other hand, moreover earnings were derived from low tax jurisdictions than previously, so that went in our favor. Finally, we have written-off about $10 million -- we have written off $10 million which is about half a volume investment in Hamburg. I will now discuss our overall performance and Paul Brody our CFO will provide further details on our results shortly. Diluted earnings per share increased by 23% from the year-ago quarter to $0.65. Our pre-tax profit margin was 70%. This overall performance was driven by an exceptionally active market which led to higher total trading volumes, historic volatility levels and greater efficiency from our highly automated operations. Total trade volumes grew by 24%, driven by a surge of activities in our brokerage segment. I would also like to point out that we were able to process nearly a million trades per day, and thanks to our highly -- high degree of automation we achieved this with only 730 employees. I would like to discuss our brokerage segment, which I believe, was the greatest potential for untapped growth especially in these market conditions. The financial help and stability of brokers has been put in question given the recent turn of events. We recently launched a new marketing campaign which highlights the safety of having funds with us due to our real time risk management and strong financial positions. Our state-of-art risk management systems aimed to mitigate the risk by continuously marking to market our customer’s position and imposing margin requirements on each customer’s account real time. When margin requirements are violated, positions are liquidated automatically. This is a specially critical distinction. Other brokers may have asked up to three days for a customers to send in margin fund, which during times of wide market swings may lead to large customer losses that the broker may not be able to absorb causing them to become solvent and putting other customers at risk. Many customers and even financial professionals do not understand that although customer funds are segregated, they are segregated in total. If a customer loses more then he has, the broker has to make up the loss from his own funds. If the broker is unable to make up the deficiency, other customers will pay under hook. This is the reason that broker’s risk management system and practices are so important in volatile times, and so is the magnitude of the broker’s equity capital. Our margin requirements are stringent but they are meant to protect IB and it's customers. We also do not trade OTC products which could otherwise expose us to credit risk or a single banker counterparty to their contract with the exception of cash foreign exchange which is very [uniquely]. As we have seen with the recent failures of certain large banks. These are very real concerns that customers should consider when selecting their broker. Investors are growing savvy to these risks and they believe that as awareness spreads -- if you continue fuel our customers account growth. Our brokerage unit delivered a 14% increase in pre-tax income year-on-year and 8% sequentially. Year-over-year brokerage customer trades known as DARTs jump by 48%. Total customer accounts increase by 19% to 107,000 and customer equity be increase 13%. [Delayed] there customer equity being fell by 8% sequentially, primarily due to broad based lawsuits felt across the global markets during the quarter. Our trading platform continues to dominate the industry. As the platform of choice for best price execution and on professional traders. In the first half of 2008, an independent transaction audit firm TAG found that our stock executions $0.47 put on new share better than the industry and our option executions there $0.53 better approved contract than the industry. So this is favorable change from the second half of '07. You won't find other broker sharing their statistics because ours simply can not be beat. We do not fake the other side of our customers stock trades, like other brokers do. During the quarter, we have also been introducing some significant upgrades to our brokerage platform, which have been design for customers who wish to move blocks without been noted by the market. This is new algorithm offers traders multiple conditions that they can utilizes the accumulator distribute large positions without impacting the price. The early feedback has been quite positive, although it is too -- that people are less focused on execution quality when markets are in turmoil. Nevertheless, we believed that all the unit algorithm recorders and our ability to deliver best execution another words possible course, we will continue to drive our customer growth. I will now review our market making operations. Again by pointing DART, that with over a 30 years of experience we have with us a great deal through our history including past market crashes. We have been able to apply what we have learn from these dramatic events to further improve our proprietary market making software. We believe this is an over earning competitive advantage one that has delivered and strongly during the third quarter. The Market Making segment enjoy the 16% increase in pre-tax income year-over-year and 40% sequentially. It benefited from the key factors that determine our profit volumes, volatility and competition. Our total Market Making option volume increased 10% year-over-year and 23% sequentially. Total trading gains per trade averaged $14 this quarter a 33% increase year-over-year. Future’s volume increased by 47%, the stock volume fell by 11%, the later is due to a discontinued strategy which had delivered marginal results for sometime. Volatility reached unprecedented levels in the third quarter. You will recall that I have explained the concept of actual to imply volatility and that this ratio is a key determine in our market making profitability. During the third quarter this ratio showed above one, which compares to 98% in the first quarter and 86% in the second quarter. The higher the ratio is positive for us but it has approached a level of which we must be careful but we wish for. Competition has less than somewhat this quarter as Market Makers we have two types of competition true Market Makers and so quote high frequency traders both of which were less visible this quarter. As I mentioned before competition tends to decrease during times of heighten volatility and return our markets come down. A critical advantage we have over our competitors beside three decades of experience is our significant investment in technology. While our competitors were scrambling to comply not matter at Hub trading restrictions that’s were imposed by the SEC during the quarter. Our staff of highly responsive programmers were able to rapidly adjust our systems. So that we could continue to participate in the markets and benefit from the wider spread with little or no down time. The shorting restrictions disabled many high frequency traders. As you can see, we continue per server on our goal to deliver profitable results and conservative growth despite the volatile nature of our business. On July 28 we trail with the SEC again showing our quarterly earnings history going back to 2001. This newer space that our results in fluctuate from quarter-to-quarter the long-term trend is undeniably deposit fees. The three random factors explained earlier, our import responsible for the fluctuation. (Inaudible) the current market crisis and believe that once confidence is restored and rational behavior returns may be when our share price will rise. I will now turn the call over to Paul Brody, our CFO who will discuss the financials in further details.
Paul Brody : Thank you Thomas and welcome everyone. I would like to take you through the summary numbers and then we will discuss the segments before we take questions. After (inaudible) second quarter our operating metrics rebounded strongly in the relative quarter. Average daily trade volume was 972,000 trades per day, up 22% from the third quarter of 2007. Market Making trade volume was down 8% primarily reflecting a lower level of stock trading as Thomas mentioned. However, options contract volume was up 10% compared to the third quarter of '07. In Electronic Brokerage, total customer DARTs were up 40% and cleared customer DARTs were up 48% from the year-ago quarter. Volumes from cleared customers who clear and carry their positions in cash with us continue to drive the electronic brokerage business. Net revenues were $497 million up 12% quarter-over-quarter and by that term I mean 2008 third quarter versus 2007 third quarter.  Trading gains were $361 million, up 25% from the same period in '07. Commissions and execution fees were $98 million, up 41%. Net interest income was $30 million, down 53% from the third quarter of '07. But this decline is not surprising and I will explain it in more detail as it relates to our business segments. Other income was $7 million down 67% due to the $10 million write down we took on our investment in WR Hambrecht. This is a conservative accounting measure in light of decline in investment banking business and IPOs in general. Non-interest expenses were $150 million, up 9% quarter over quarter, driven by increased compensation, occupancy which includes office space and data center and , amortization of internally developed software. We continue to practice aggressive expense management and we seek to grow those expenditures to help to expand the business. Within the non-interest expense category, despite the higher trading volumes, execution and clearing expenses were $83 million down 3%, which I will explain as it relates to each of the business segment. Our effort to become direct clearing members at more exchanges and also reduced these expenses over time. Compensation expenses were $40 million, reflecting in part the continued phase-in of expenses related to our employee stock incentive plan and also to the growth in our staff count. At September 30th, our total head count was 730 and increase of 8% from the year end count [ph]. And this is about the radio staff expansion we expect to achieve. We also believe that the current environment in the financial services industry should presented with opportunity to hire talent of people especially in the area of software development, trading, risk management, and customer service.  As a percentage of net revenue, total non-interest expenses were 30%. And out of this number, execution and clearing expense accounted for 17% and compensation expense accounted for 8%. These percentages are all down sequentially, which demonstrates the scalability of our platform, that is, with our low cost structure, additional revenues falls at a bottom line. Pre-tax income was $347 million, up 13% from the same period last year, which means this is our second best quarter ever after the first quarter of ‘08. Market Making represented 81% of pre-tax income and brokerage represented 18% the remaining 1% in corporate and elimination. And these proportions are consistent with the third quarter of ‘07. Our overall pre-tax profit margin was 70% as compared to 69% in the third quarter of ‘07, and up from 66% last quarter. Market Making pre-tax profit margin was 79%, up from 74% in the year-ago quarter. Brokerage pre-tax profit margin was 47%, down marginally from 50% a year ago. Again, the little cost structure we achieved through our remaining platform continues to drive this high profit margin. Diluted earnings per share were $0.65 for the quarter, as compared to $0.53 for the third quarter of ‘07. As Thomas mentioned, one of the broad elements affecting our reported earnings [halfed]. In the third quarter, we earned a greater proportion of our profits outside the US, which were taxed at lower rates. However, given that the global integration of our market making operation, we produced trading gains in any location. I would caution that one quarter’s results do not make a trend. Our balance sheet remains highly liquid with relatively low leverage. We actively managed our excess liquidity, and we maintained significant borrowing facilities through the securities lending markets and with banks. We also continue to maintain over $1 billion excess regulatory capital in our broker-dealer companies around the world. Long-term debt-to-capitalization, and September 30th was 10.4% which was down from 11.4% at the year-end ‘07. The consolidated equity capital of our operating companies at September 30th, ‘08 was $4.14 billion. Now, I will turn to the segment starting with Market Making. Trading gains from Market Making for the third quarter of ‘08, were $349 million, up 24% quarter-over-quarter. Our automated pricing and risk management systems performed well in the quarter’s active and uncertain market. Net interest income from Market Making was $9 million, a decrease of 79% quarter-over-quarter, though up from $6 million in the last quarter. As we described in prior quarter’s earnings call, this is primarily due to the fact that we have integrated our training and securities lending systems in such a way that trading income and interest income are fairly exchangeable. For example, if we are long stock and short forward stock, few options for future, then we will generate more trading income. Conversely, if we are a short stock and long forward stock, then we will generate more interest income. The outcome is partly determined by the interest rates in the cash market, relative to the forward markets. A mix of our conditions in the latest quarter produced more trading gains and less interest incomes in the year-ago quarter. Net revenues from Market Making $360 million, up 9% from the third quarter of ’07. Despite higher trading volumes, the variable cost of execution in clearing our largest expense category, making up some 63% of non-interest expenses, declined 16% from the third quarter of ‘07, to $48 million. As we’ve noted before, this in part reflects the reduction and exchange mandated payment from order flow from RAM cost as more option traded in penny. It also stems from greater options volumes being executed on exchanges that use the make or take model, where as a market maker, we are paid for providing liquidity instead of paying exchange fees. Pre-tax income from market making was $283 million, up 16% quarter-over-quarter. Turning to electronic brokerage, customer trade volumes showed healthy increases across options, futures, and stocks. Customer accounts grew by 19% over the total of September 30th, ‘07, and by about 4% in the latest quarter. Total customer DARTs, daily average revenue trades, grew to $377,000, 40% over the third quarter of ‘07 and up 16% from the second quarter of ‘08. Our cleared customer DARTs, which generate direct revenues for the brokerage business grew to $338,000, up 48% quarter-over-quarter, and up 19% sequentially. In addition, the average number of DARTs per account on an annualized basis was 814, up 25% over the 2007 period and 14% sequentially, reflecting a continuing trend of attracting larger, more active customers. Customer equity grew to $9.4 billion, up 13% from the third quarter of 2007, but down 8% sequentially. As Thomas mentioned, this is primarily due to broad-based losses felt across the global market, however, we continue to see a steady inflow of new accounts and customer deposits. We believe this reflects a continuing trend of customers transferring their accounts to Interactive Brokers for safety and security as well as for our advanced execution services. The strong trade volumes drove revenue from commissions and execution fee to $98 million, an increase of 41% from the year-ago quarter and 15% sequentially. Net interest income fell to $20 million, down 8% from the third quarter of ‘07. Because the interest rates we pay and charged to our customers are pegged to benchmark rates, net interest income in our brokerage business is primarily a function of customer cash and margin loan balances. However, lower market interest rates have some dampening effects on the net interest income we earned on small cash balances. Average US interest rates declined about 3% over the year since the third quarter of ‘07. Net revenues from brokerage were $135 million for the quarter, up 21% from the third quarter of ‘07 and up 8% sequentially. As with our market making segment, execution and clearing fees accounts for a large part, about 51% of our non-interest expenses in brokerage. These variable costs increased 26% to $36 million for the quarter, in line with the increases in trade volumes. In prior quarters we spoke about cost savings associated with the reduction in payment to broker-dealer customers for order flow, and the routing of more customer limit orders to options exchange, that pay for liquidity. These savings were already large that reflected in the numbers over the third quarter of ‘07 comparative period. Pre-tax income from electronic brokerage was $64 million for the third quarter, up 14% quarter-over-quarter, and up 8% sequentially. Now, I’ll turn the call back over to moderator and we will take questions.
Operator: Thank you. (Operator Instructions). And our first question comes form Edward Ditmire with Fox-Pitt Kelton.
Edward Ditmire - Fox-Pitt Kelton : Good afternoon. Is there any chance you can go through an update of the international expansion.
Thomas Peterffy: Sure. What will significant in this past quarter internationally is that we have become regular market in India. And that we have somewhat increased our activity in Korea. And we have decided to enter into the certificate for different -- contracts for differences. In Australia and they are going to do the programming for that although we have not as of the end of the quarter and into the business year.
Paul Brody: Either exchange change of product.
Thomas Peterffy: That’s right. And is there -- was there anything else that you -- that I think –
Edward Ditmire - Fox-Pitt Kelton : I think there is one more question. Can you get some commentary on the latest feelings about the developments foreign market structure lines. You know just have this week, the CBOE amounts to and all electronics options exchange which could be make or take or model, NASDAQ recently introduced it's options option’s market. It's seems like there is a high profile battle going on with the SEC over make or take or fee rates. Can you just give some thoughts on how you think that kind of evolution of US options market structure is going?
Thomas Peterffy: Each of the exchanges would like to have a pay for order flow platform and a make or take platform. It is because they have both kinds of customers. And so the NASDAQ has that by having it's own make or take exchange and the [relax] for pay for order flow, the CBOE just announced this, the New York has it with [Alca] which is make or take and AMEX which is conventional. And it is about 51 that is only make or take. About the -- there is serious controversy over how much make or take exchange should be able to charge for people who -- to people who make -- who take court because best execution rules required that the customer order derived to be exchanged with the best price. And since options slate in penny’s and each valuable contract represents a dollar. So, we believe that as long as the tent fee is $0.99 or less as long as the exchange is penny better it has a best price. Now, we have some competitors who have gathered a lot of order flow by paying the brokers for the order flow and the brokers, of course, do not pass on these payments to their customers. And they do not like the fact that, they sometimes would -- if they are unwilling to match the price that they make or take exchange displays then -- and they have a market order they (inaudible) to rather and then they have to pay the date fee. So, there is controversy about this and the fee, the maximum fee, will be at -- one point will be declared by the SEC.
Edward Ditmire - Fox-Pitt Kelton: Okay. Thank you.
Operator: And next we will hear from Richard Repetto with Sandler O’Niell.
Richard Repetto – Sandler O'Neill & Partners: Good evening, Thomas and Paul.
Thomas Peterffy: Hi Richard.
Richard Repetto – Sandler O'Neill & Partners: I guess my questions is going to be, again you reiterated what helps the options market make a volume volatility and the ratio of the actual to the implied volatility. So all these things, right now, are at record levels as far as option volumes, the VIX closed today at 67 or 68. So I guess, would -- are these favorable conditions generally for an Options Market Maker?
Thomas Peterffy: Well, the metric is now at the level where it is fairly difficult to deal with it because when implied volatility is on such a high level, there is a great deal of volatility -- there is a huge volatility component to every trade. And so as a Market Maker we are there trying to make a billion in offer and will be of course in control which whether we will buy or sell in the next trade, and suddenly these trades are huge in volatility terms. And, of course, we do not want to get very long volatility of these levels because we have got those -- these volatility could go back to normal. We also do not want to get very short volatility. So, in other words we are scared. We are sitting there scared and doing our work, but we are not as happy as we where when the VIX was up, say, in the 40s.
Richard Repetto – Sandler O'Neill & Partners: Okay. Okay. Well, okay. Volume is still up, as well as, the ratio is well up actual, so hopefully that bodes well for you as well. I guess the next question, were there times when you took risk down in the period, you didn’t mention any material losses on any stocks like Lehmans and some of the stuff happened after, some were before the quarter end, but would all the financial stocks and all the note-downs you didn’t have a material -- it doesn’t sound like you had a material risks, can you talk about any extraordinary things you did to mitigate risks?
Thomas Peteffy: We had some smaller losses here and there, again having to do with two kinds of things. There were -- I don’t recall the names, but I know that there are about three takeovers in the course of the quarter, and each one cost us some money, not much. And then, of course, there are great many rumors in the market and we always tell us once to hear the rumor after we have saw the volatility, of course if that may. But there weren't any losses of material magnitude.
Richard Repetto – Sandler O'Neill & Partners: Great, and the last two quick things is, Paul, could you give us a currency impact in the quarter to the income statement and then, I understand why you didn’t buyback shares then when you determine you had upside as high as you know upside to the high-end of the range, will you be buying back shares soon. Now that you've reported given the value -- where the stocks [traded]?
Paul Brody: We will value at the end of next quarter.
Richard Repetto – Sandler O'Neill & Partners: Okay.
Thomas Peterffy: As far as the currency. If you speak to -- maybe I will repeat it again, if U.S. $0.59, EUR0.24, 10 Yen, 3 Australian, 3 Canadian, and 3 British cents, okay? Now, therefore by looking at the foreign exchange rates of the beginning of the quarter and compare it to the end of the quarter you can figure out the dollar value at global, right? And then you translate our net worth from global in [$2] and you can see the impact on the earnings, right? Now there is one more provider and that is Timber Hill Europe is that -- which is a Swiss base organization keeps it's books in Swiss Franc. So the Swiss Franc to dollar translation if the dollar goes up relative to the Swiss Franc that’s a negative and if the Swiss Franc goes up relative to the dollar that’s a positive, that is a translation gain or loss and that goes not as parts of the earnings but under the line in the -- by the equity. So now if we have a gain on -- we have translation gain then you have to take that out of the earnings impact of the global namely under the line you have positive number, you have to put it in to the earnings of a negative number and vise-versa. I hope you got that.
Richard Repetto – Sandler O'Neill & Partners: I knew what the global was, we've run that number -- I guess my -- well maybe I should just get after the call what the -- the actual currency impact to the quarterly pretax income was? That’s what I am looking for. 
Thomas Peterffy: We didn’t figure with that.
Paul Brody: It's done, I guess reported in the 10-Quarter, Rick.
Richard Repetto – Sandler O'Neill & Partners: Okay, okay, that’s it. Congrats on a great quarter.
Thomas Peterffy: It's sounds like you want to check your work.
Richard Repetto – Sandler O'Neill & Partners: Well, I think there is component I can not calculate is the issue.
Thomas Peterffy: Alright, okay.
Operator: Your next question comes from [Jen Willeck] with SCG.
[Jen Willeck] - SCG: Hi, thanks for taking my question. You just -- the three factors that you’ve discussed in the beginning, I guess, sort of a follow-up to the currency question. Can you comment at all or help us, qualified all what in fact you mentioned it was small but in terms of the impact of each of those three items, that they had on the quarter.
Thomas Peterffy: No, I don’t want to tell you the three items individually because I don’t know them. But I tell you I was somewhat surprised by the $0.65 because I figured it would be around $0.62. So I think that the impact goes some felt that three of them together $0.03 which is $12 million, every cent this $4 million.
[Jen Willeck] - SCG: Okay. And just another follow up, in terms of the ratio that you discussed on the currency, the $59.24, is that what determine of this ratio, is that in anyway of –
Thomas Peterffy: We have book big some numbers also ahead, if just -- we just made it up we wanted to have a currency unit which represents a base cap of freely trading currencies. And in our mind it roughly equals the economic importance of these regions, in global trade.
[Jen Willeck] - SCG: Okay, thanks for attending my question.
Operator: (Operator Instructions). We’ll hear next from Niamh Alexander with KBW.
Niamh Alexander - KBW: Hi, thanks for taking my questions and congratulations on a very strong quarter. And on the Market Making business, Thomas can you -- walk me through the competitive landscape I would expect, as we’ve seen in the past, some of your less technology savvy competitors really pulled back with the extreme market volatility, is that fair, maybe with September a lot better for those regions in July, August.
Thomas Peterffy: Well definite volume, the fact that July was the slow months, are goes in average months in September was a very active month and it is true that September when you will be of the non-Market Maker so called high frequency trader competitors have gone away that was also somewhat impacted by the short fair restrictions and that competitive landscape in a much more favor of all for us in September then it to goes prior to that.
Niamh Alexander - KBW: Thanks and just on the competitive landscape, do you feel like this been an off change with the big brokered dealers and maybe some Market Makers there that could permanently change a landscape permanently moved. So we say for the new few quarters changed the landscape or more favorably towards to you and maybe is there in the dependant Market Makers.
Thomas Peterffy: I don’t have overhand alone I am sorry, I can’t tell you what this happening with the integrated investment banks.
Niamh Alexander - KBW: Okay, that’s fair enough, thanks. And if I could shift over to the customer because we really saw search in the DART per account which phenomenally strong and this quarter and certainly the trends has been for the that to increase. Can you help me understand the mix that are you seeing maybe more hedge funds coming? Is it the professional traders just really taking advantage of the volatility, what I am trying to understand this maybe the sustainability of it or if it folks like time levering the volatility to trade?
Thomas Peterffy: Well, you know it is more and more professional traders and hedge funds, in I want to tell you frankly the upset over Lehman and the fact that some institutions had their account frozen has helped us because people are trying to be diversify among brokers and have money with different ones. And the fact is that as we grow we will be coming -- we can no longer be ignored by of our (inaudible). 
Niamh Alexander – KBW:  Do you think that it's still reasonable to assume you could grow that brokerage business 50% next year which is your target and given the time of this year?
Thomas Peterffy : I certainly hope so.
Niamh Alexander – KBW:  Okay, fair enough. And then just a few questions I will follow-up and then I will get back in the line. Your write on the WR Hambrecht investment, does it mean that you have also kind of change your views and is important for shareholders on the auction pricing model or stock offerings?
Thomas Peterffy : I have not changed my views about the idea of the Hambrecht option, I think it's very fair way of doing it. The fact is, however, that there is not much business so investment banker [these days] and decide that it we was a prudent move to arrive the investment done.
Niamh Alexander – KBW:  Okay. That's helpful. Thanks for taking my question, Thomas.
Operator: The next question from Louis Margolis with Select Advisors.
Louis Margolis - Select Advisors: Gentleman, congratulations for handling the volatility so well. My question is more long term, given your extensive capital strength, how do you consider significantly expanding your prime brokerage business.
Thomas Peterffy : We are working on this, yes. But that does not mean that we will provide a higher leverage than we are allowed to provide inside the United States. In other words unlike prime brokers who are not going to open account in London and then go around the leverage restrictions imposed by the SEC.
Louis Margolis - Select Advisors: Thank you.
Operator: And next we will move to [Greg Laden] with [Deking].
Greg Laden - Deking: I was going to ask about development in the quarter that would influence shifts in market share among the participants and you touched on it in that some of the competitors backed off. And I wanted to know why your market share in terms of brokerage actually the Market Making business in term of contract volume was lower than the proxies for the United States that you can talk about. I didn’t think you talked in the past which may be intentional actions that you done in the past?
Thomas Peterffy : Our market share was surprisingly low in July in August and then it suddenly increased in September so while we were in Market Making -- where below 10% in July and August then it picked up in September when the free country it is left to see.
Greg Laden - Deking: So there are no additional intentional practices such as packing off longer dated options or anything else given the?
Thomas Peterffy : Except we refuse to compete I said that in the previous quarter that when these high frequency traders are coming and they go inside our court, it is not much or match our court there is not much point in making the tight court. So, I said in the previous quarter that we stop competing with them. And then as it happened the market share went down, as a result in July and then it picked up in September.
Greg Laden - Deking: My other question is just a clarification, so it sounds like [Nexis] good hire and there is a diminishing benefit as you get rising above 40. And then also as the volatility if it's too much of a range that’s also starts to get to a negative?
Thomas Peterffy: Look, the fact is that additionally we around this business always being long volatility, so that if markets suddenly move a lit, it's beneficial to us. But the volatile can reach a level to reach it would be unwise to continue replenishing that long volatility position knowing truly well that one of these days that volatility will go back from 70 or whatever it is. And it's from 70 to back to something like 20s. Right? So, there comes a point where you just don’t want to carry so much volatility.
Greg Laden - Deking: Okay. So, it's risk management in terms of your volatility of your P&L?
Thomas Peterffy: Right.
Greg Laden - Deking: Got it. Thanks.
Operator: And we have a follow-up from Niamh Alexander with KBW.
Niamh Alexander - KBW: Comments on just two quick questions if I may, there has been lot of we talked some of the competitor landscape, but and conceiving their cash position, do you think you are little bit more inclined maybe to acquire some goals and given how the market landscape has changed and maybe some competitors or some smaller business you will be more willing to sell. And then the second question was just, what are the biggest the risks of your business right now, if that has changed or how is that change over the last nine months. Thanks so much.
Thomas Peterffy: We don’t -- I mean we look at many things that comes by but we are not actively looking for an acquisition. And what was the second question?
Niamh Alexander - KBW: I was just asking this the risks to your business have changed in priority over the last few quarters. Can you help me walk me through that?
Thomas Peterffy: Well of course, the risk as I have always said was the strength of the pleading organizations. And obviously, we have been pretty nervous watching what’s been happening and so far so good, but we still believe that one of the leading organizations had a problem that the government would probably crop them up. But there is not a lot we can do about that risk.
Niamh Alexander - KBW: Okay. And there were no disruption in this carry lending market or anything like that?
Thomas Peterffy: Let me ask Paul.
Paul Brody: We haven’t had disruptions in our end of the business w do see that firms in general on a street are more aggressively trying to finance their stock inventory by raising their interest rate.
Niamh Alexander - KBW: Okay. That’s helpful. Thanks again.
Operator: And we’ll move next from follow up from Richard Repetto, Sandler O’Neill
Richard Repetto – Sandler O'Neill & Partners: Yes. Thomas, I was wondering, with September 19 -- sorry, 18, when they put in those ban on short selling financials, so I was trying to see whether that -- was it more favorable? Did that hurt your Market Making operations as well as the -- more the stronger commitments to deliver in 3 days?
Thomas Peterffy: Its -- we had to scramble but we were ready, in the morning we had to be ready and so I think that goes some favorable for us. Even though some of the programmers had to stay overnight, we were ready and that was favorable because some of the others were not.
Richard Repetto – Sandler O'Neill & Partners: And obviously, since that lined-up on volume, once they that lifted that, and well, but did that hinted volumes at least in the financial that probably wasn’t favorable, why would they take from an auctioneer’s standpoint?
Thomas Peterffy: No, somehow I would -- no, I wouldn’t really say that because whenever there is a dislocation in the market, when relative values change because of our differential constraints, we can take advantage of those constraints. So, I would think that on balance, it was most favorable for us. Well, it is now 6:30 and we’re going to have dinner. Thank you very much.
Operator: That does conclude today’s conference. We do thank you for your participation. Have a great day.